Operator: Good day, and welcome to the Vera Bradley Third Quarter Fiscal 2024 Earnings Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Mark Dely, Chief Administrative Officer. Please go ahead, sir.
Mark Dely: Good morning, and welcome, everyone. We'd like to thank you for joining us for today's call. Some of the statements made during our prepared remarks and response to your questions may constitute forward-looking statements made pursuant to and within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 as amended. Such forward-looking statements are subject to both known and unknown risks and uncertainties and that could cause actual results to differ materially from those that we expect. Please refer to today's press release and the Company's most recent Form 10-K filed with the SEC for a discussion of known risks and uncertainties. Investors should not assume that the statements made during the call will remain operative at a later time. We undertake no obligation to update any information discussed on today's call. I'll now turn the call over to Vera Bradley's CEO, Jackie Ardrey. Jackie?
Jackie Ardrey: Thank you, Mark. Good morning and thank you for joining us on today's call. Our efforts continue on Project Restoration as our associates across the Company work together to position Vera Bradley Inc. for long-term profitable growth. We are very pleased with the meaningful progress we have made so far. Year-over-year, third quarter non-GAAP income was essentially flat as we delivered solid gross margin expansion and carefully managed our expenses despite sales challenges. Total third quarter revenues for the Vera Bradley brand decreased 5% from last year. Vera Bradley direct revenue declines primarily resulted from continued weakness in the outlet store channel and the impact of store closures. Year-over-year, Vera Bradley indirect revenues were up to last year. Pura Vida year-over-year sales decreased 18.3% with declines in both wholesale and e-commerce revenues as prior year sales were driven by meaningfully higher levels of marketing spend along with increased liquidation and clearance activity. Store sales remain strong. With our diligent expense management and focus on profitability, Pura Vida year-over-year third quarter operating income improved. At both brands, customers have responded to our latest iconic product collaborations and to our new innovative and on-trend product offerings even as they have been more careful with their discretionary spending in the current macro environment. We continue to diligently manage our debt-free balance sheet, adding to our year-over-year cash position while strategically lowering our inventory levels. Strength in this area is important in navigating an uncertain retail environment as well as in supporting our Project Restoration initiatives. Presently, we are taking targeted and prudent actions to stabilize revenues, and we remain focused on strong financial discipline in controlling what we can control as we react both strategically and tactically to current market conditions. Simultaneously, we have made meaningful progress and are right on track with our long-term strategic plan Project Restoration, focusing on four key pillars of the business for each brand: consumer, brand, product and channel. We believe execution of Product Restoration will drive long-term profitable growth and deliver value to our shareholders. Let me give you an update on some of the initiatives we have underway related to Project Restoration. We will have additional updates in conjunction with our year-end earnings call with more rollout details in June. At Vera Bradley, for the consumer, we are focusing on restoring brand relevancy, targeting casual and feminine 35- to 54-year-old women who place prime importance on both fashion and function. We've created a multiyear customer file growth plan with a focus on this core consumer target, along with an appropriate level of marketing investment to acquire new customers as we launch new product and our refreshed brand vision next year. Our consumer research focused on this target audience, and we placed importance on her needs to inform product design and development. For the brand, we are working to strategically market our distinctive and unique position as a feminine fashionable brand that connects with consumers on a deep emotional level. Our marketing efforts this year have increased the number of reactivated customers. We are continuing to shift our focus from channel-specific customer acquisition to an omnichannel perspective for increased media effectiveness. Our updated brand vision and marketing strategy will roll out in the middle of next year. For the product, we are refocusing on core categories and items we are best at by continually innovating and expanding within our core products like travel and back to campus. By mid-next year, you will see how we have elevated our colorful feminine heritage, keeping it distinctive but more trend relevant through updated print and design, and we will continue to enter into strategic adjacent lifestyle item introductions that make sense for our customers. Our performance fabrics Featherweight Performance Twill, ReActive and Ultralight continue to trend well, appealing to our younger core customer with a higher household income. We believe performance fabrics are a big opportunity for us. Patterns will always be our signature, but coordinating solids continue to be a key opportunity for us as well. We have and will continue to expand our solid offerings. As part of this, our revamped leather collection of bags, wallets and bracelets and other accessories debuted in September. The simple clean lines, beautiful designs and exceptional functionality have been well received by our customers, and we expect to expand our collection going forward. Customers purchasing leather spent 7x more than their full price purchasing counterparts in the third quarter. Product collaborations will always be an important part of our brand expression. We continue to see strong response from Disney to Hello Kitty to Peanuts to our most recently launched Toy Story Collection. Stay tuned for more exciting collaborations next year. We are especially thrilled about our NFL collection introduced in August. We will expand to all NFL teams in fiscal 2025. For the holidays, we have a great gift-giving lineup of products featuring fan favorites and uniquely giftable items from bags to ornaments to our cosy collection, all at sharp price points. Holiday gifts also incorporate items from our favorite collaborations, including Hello Kitty, Peanuts, Disney, Toy Story and Star Wars. For the channel, we are accelerating our digital-first focus and online presence, building a more balanced store footprint and clearly differentiating the full-line assortment from our outlet assortment. We are also focused on improving full-line store profitability and have future growth plans for this channel, including remodels for existing stores in the first half of next year as well as the development of new formats. In addition, we are targeting relationships with strategically aligned wholesale partners. As part of this, our recent site rebranding and navigation changes have been successful in reducing bounce rate and driving conversion and sales. We will apply what we've learned from these changes to a full site rebrand in the middle of next year. We have taken steps via product, marketing and expense discipline to improve the profitability of our full-line stores. We are in the process of identifying prudent, modest store expansion plans for next year and beyond. We also are taking a comprehensive approach to addressing the trends in Vera Bradley's outlet channel through a thorough multipronged approach, including targeted marketing tactics designed to drive traffic and conversion pricing adjustments and testing and store contest. Now turning to Pura Vida. For the consumer, we are sharpening our focus on young women aged 18 to 24, the original target audience of the brand. For the brand, we have re-centered our brand philosophy on living life to the fullest. We have pivoted our marketing to authentically share real moments, places and faces of our customers and enthusiasts. We are more analytical using our newly implemented comprehensive customer data platform to more strategically target customers and potential customers with a keen focus on both customer acquisition and retention. Our recent live free and college mobile tours were huge successes for customer engagement. For the product, we are focusing on delivering unique fun, playful designs that are affordable and accessible with a key emphasis on bracelets and jewelry as well as other strategic adjacent categories. Innovation and newness are working. Our custom bracelets from Harper Charms to engravable items to building your own bracelets are popular and continue to be a big growth opportunity. We will continue to pursue high-profile collaborations like Hello Kitty, Shark Week and Harry Potter, which are always fan favorites and bring new customers to the brand. We recently expanded our men's collection. This collection still targets our core customer who purchases these items for the men in her life. Holiday Gifting is a huge opportunity for us, and our offerings include special holiday bracelet packs, collectible ornaments, holiday themed Harper Charms and our very popular advent boxes. Social responsibility is important to the Pura Vida customer, and we support this through our charity program, which supports a number of charities, including mental health awareness, homes for our troops, best friends, animal, society and the Trevor project. For the channel, we have a strong focus on driving e-commerce growth and strategic expansion of wholesale by pursuing bigger, more strategic partnerships and expanding larger existing accounts. Also, we are beginning to refine and develop an expansion plan for our existing store model. Based on the success of our existing Pura Vida stores, we are in the process of identifying a handful of new Pura Vida store locations for 2024. We will have firmer plans to announce in March on our year-end call. To gain both operational and strategic efficiency, we moved the Pura Vida store operations under the Vera Bradley team earlier this year. We are taking actions to stabilize and then steadily grow Pura Vida's revenues and to reverse the trends in Vera Bradley's outlet channel. Our team is focused on driving long-term revenue growth, improving gross margin and ensuring strong financial discipline and cost control, all of which we expect will drive long-term profitable growth. Now let me turn the call over to CFO, Michael Schwindle, to review the financial results. Michael?
Michael Schwindle: Thanks, Jackie, and good morning, everyone. I'm going to begin with some details about our third quarter and then go into a revised guidance for the year. For the sake of clarity, the numbers I am discussing today are on a non-GAAP basis and exclude charges as outlined in today's press release, a complete detail of items excluded from non-GAAP numbers as well as that reconciliation of GAAP to non-GAAP can be found in the release. For the third quarter, our consolidated net revenues totaled $115 million compared to $124 million in the prior year third quarter. Consolidated net income totaled $6.1 million or $0.19 per diluted share compared to $6.3 million or $0.20 per diluted share last year. Current year third quarter Vera Bradley Direct segment revenues totaled $72.3 million which is a 9.7% decrease from $80.1 million in the prior year third quarter. Comparable sales declined 8.2% in the third quarter, primarily driven by weakness in the outlet channel. Total revenues were also impacted by store closures over the last 12 months, including 15 full line and two outlet store closures. We also opened three outlet stores over the last 12 months. Vera Bradley Indirect segment revenues totaled $25 million, a 12% increase over $22.3 million in the prior year third quarter, reflecting a significant onetime key account order that did not take place in the prior year. Pura Vida segment revenues totaled $17.7 million, an 18.3% decrease from $21.7 million in the prior year, reflecting the decline in sales to wholesale accounts and a decline in e-commerce sales, partially offset by a growth in retail store sales. Third quarter gross margin totaled $63 million or 54.8% of net revenues compared to $65.6 million or 52.9% of net revenues in the prior year. The current year gross profit rate was favorably impacted by lower year-over-year inbound and outbound freight expense, lower supply chain costs and the sell-through of previously reserved inventory, partially offset by increased promotional activity. Prior year gross profit was materially impacted by high inbound and outbound freight expense as well as deleverage of overhead costs. SG&A expenses totaled $55.1 million or 48% of net revenues compared to $57.6 million or 46.4% of net revenues in the prior year. This reduction from the prior year reflects company-wide cost reduction initiatives across various areas of the organization. The expense deleverage resulted from lower revenues. Third quarter consolidated operating income totaled $8 million or 7% of net revenues compared to $8.2 million or 6.6% of net revenues last year. So now turning to the balance sheet. Quarter end cash and cash equivalents totaled $52.3 million compared to $25.2 million at the end of last year's third quarter. We continue to have no borrowings on our $75 million ABL facility. Inventory was $129.1 million at the end of the quarter compared to $178.3 million at the end of the third quarter last year. We have taken strategic actions to reduce our inventory levels, and we believe we are appropriately positioned as we enter the holiday season. During the quarter, we purchased approximately 72,000 shares of common stock at an average price of $6.76 per share or an aggregate of approximately $485,000. $25.8 million remained under our $50 million share repurchase authorization and that expires in December of 2024. Based on the performance of the first nine months of the year as well as our initiatives underway and the current macroeconomic trends and expectations, we are updating certain components of our guidance for the fiscal year, and we have adjusted our range of diluted EPS as well. As a reminder, all of these numbers are on a non-GAAP basis. We now expect consolidated net revenues of $472 million to $478 million. As a reminder, net revenues totaled $500 million last year. We also expect a consolidated gross margin percentage of 54% to 54.5% compared to 51.4% in the prior year. This year's gross margin rate is expected to be favorably impacted by lower year-over-year freight expense, cost reduction initiatives and the sell-through of previously reserved inventory, partially offset by increased promotional activity, as I mentioned -- all of which I mentioned earlier. Consolidated SG&A expense is expected to be $232.5 million to $235.5 million compared to $245.3 million last year. Decline in SG&A expenses being driven by our company-wide cost initiatives and partially offset by restoring short-term and long-term incentive compensation to more normalized levels as well as some incremental marketing investment intended to accelerate long-term customer file growth. This results in anticipated consolidated operating income of $23.3 million to $25.9 million compared to $12.3 million last year and diluted earnings per share of $0.56 to $0.62 compared to $0.24 last year. We also expect net capital spending to be approximately $4 million for the year, versus $8.2 million last year, and this reflects investments associated with Vera Bradley outlet stores as well as certain technology and logistics enhancements. And lastly, our free cash flow is anticipated to be between $40 million and $43 million compared to a cash usage last year of $21.7 million for the full year. That concludes our formal remarks. So operator, we'd like to now open up the call for questions.
Operator: [Operator Instructions] And our first question comes from Joe Gomes with NOBLE Capital.
Joe Gomes: So Jackie, and Michael, last time when we talked for the second quarter, your traffic had been down and you guys were taking some steps, including some paid media, mall takeovers, et cetera, to try and drive additional traffic. I was wondering, if you can kind of give us what the takeaways so far are? And what else are you looking at to help drive traffic?
Jackie Ardrey: Yes. Thanks for your question, Joe. So a couple of points on that. So first of all, we -- the marketing initiatives that we undertook throughout Q3 were successful in driving traffic and improving trend. They -- unfortunately, because of the conversion metrics, they weren't as -- they weren't as effective in driving sales. So, we've had several tests going and things that we've adopted for Q4. We're continually changing up our marketing mix to find those things that are working and drive those and leverage them as best as we can.
Joe Gomes: Okay. Maybe switching gears over to Pura Vida here. We started out the year at a pretty positive environment there. Sales were actually up year-over-year. But then they declined in the second quarter. This quarter, they climbed back to that nearly 20% down. I know some of it you talked about was due to some kind of onetime events. I don't know if you break out what it would be outside of those onetime events? Or what do you think we can do here in the short term and kind of reverse that transact to what we saw earlier in the year?
Jackie Ardrey: Yes, that's a great question. So for August and September, we really were comping against some promotional activity that we did not repeat this year. And that and combined with a better focus on profitability for the brand, really caused us to pull back some marketing spend in those two months. So the first two months of the quarter were definitely more challenging. And then we had a better October. So, we're continually evaluating what's the right level of spend to drive customer acquisition. Now conversely, our retail stores did perform well in Q3 at Pura Vida. And they also had the -- the advantage of driving some more customer acquisition. So, we're looking at that very carefully to inform our plans for next year.
Joe Gomes: Okay. Great. One last one for me on the inventory. Again, great job there. But pardon me, down basically another $10 million sequentially, just wondering, is there really more there that you think you can take out on the inventory side? Are we kind of at a level where we're going to need this as hopefully, we see the sales begin to grow?
Michael Schwindle: Yes. Joe, I think there are several issues in play when we think about inventory, especially as you look to the end of the year and then beyond. The first is we continue to expect to see inventory down 10% to 15% year-over-year by the end of the year. There may be a little bit of slip -- more call slip and swap because the Chinese New Year cutoff is right at our year-end, where there's normally there's about a week a week of lag from our year-end to Chinese that just affects the importation of goods and the timing of that. So -- but regardless, we still expect to see 10% to 15% reduction from -- on a year-over-year basis. As we look forward to next year, we'll provide more specific guidance for next year, but there continues to be opportunities in our inventory management. They will be a little bit masked next year just due to the changeover of products as part of project restoration, which will land midyear. So, I expect that we'll continue to see improvement in our operations with some improvement in the overall level of inventory, but there will be more guidance to come at our next call.
Operator: And our next question comes from Eric Beder with SCC Research.
Eric Beder: Congratulations on Q3. I want to talk about a few things here. First is the indirect sales channel and the opportunities for more, I guess, indirect/wholesale. This is the second quarter where this has gone up year-over-year after a long period of declining here, what is driving that in terms of your -- are you seeing more people want to take the product? Are you seeing you taking more product? What are you seeing in the indirect channel? And you brought it up for both Pure Vida and for the Vera Bradley brand, that's driving that to go forward as a positive driver here.
Jackie Ardrey: Yes, it's a great question, Eric. So I think there's a couple of things in the indirect channel that are happening. We did have -- For some of our key accounts, we did have some product that was working better and had some reorders on those products. And we -- our business with Amazon is strong. And then finally, we took advantage in third quarter to really look at our inventories and figure out where we had some opportunities for discounters or onetime orders to reduce some undesirable inventory. So really, it was those three pieces. So we do see, though, that our wholesale channel is obviously very sensitive to just customer trends right now. So when our partners are seeing better traffic and sales, we're actually benefiting from that. So, we did -- we did see some of that happen in the third quarter and actually in the second quarter.
Eric Beder: Interesting. You mentioned leather more expensive item also the customer who's buying it spent a lot more in the store. You mentioned the performance product, which is slightly more expensive to you. When we think about going forward, these are items that's probably driving new customers, younger customers. Is there an opportunity to, a, continue to expand those pieces; and b, continue to drive higher pricing from them which can drive, I guess, better returns?
Jackie Ardrey: Yes. That's a great question too, Eric. And we were able to deliver this leather collection, it had kind of a truncated time period compared to our normal supply chain lead times. So, we got this in to test informed some of our leather expansion that we're planning to do next year, and we were really pleased with the results. A lot of it sold through fairly quickly. And I would say from a new customer perspective, our existing customers were so excited to see this that we didn't really have as much opportunity to drive new customer acquisition from it because a lot of it was really sold through in the first three or four weeks. So, we're really looking forward to learning and continuing to grow that segment of our business. It used to be a very important part of our business.
Eric Beder: Okay. Last question. Is there a 53rd week in your Q4? And how big is that if it is there?
Michael Schwindle: There is a 53rd week in this fiscal year. It's a relatively small amount of sales overall.
Eric Beder: Okay. Congratulations again, and good luck into the holiday season.
Operator: And that does conclude the question-and-answer session. I'll now turn the conference back over to you.
Jackie Ardrey: Our entire team is dedicated to returning both Vera Bradley and Pura Vida to profitable growth and generating strong cash flow through Project Restoration. This should deliver value to our shareholders over the long term. We are right on track with our Project Restoration initiatives. This year, we have been diligently focusing on stabilizing sales, expanding gross margin and controlling expenses. We believe this focus at a minimum should nearly double year-over-year operating income and more than double EPS. We are excited about the opportunities for both brands. Thank you for joining us today, and we look forward to sharing our progress with you on our year-end earnings call on March 13.
Operator: Thank you. And that does conclude today's conference. We do thank you for your participation. Have an excellent day.